Operator: Good morning, and welcome to Wolverine World Wide's Third Quarter 2017 Conference Call. All participants will be in a listen-only mode until the question-and-answer session of the conference call. This call is being recorded at the request of Wolverine World Wide. If anyone has any objections, you may disconnect at this time. I would now like to introduce Mr. Chris Hufnagel, Senior Vice President of Strategy for Wolverine World Wide. Mr. Hufnagel, you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: Thank you, Drew. Good morning, and welcome to our third quarter 2017 conference call. On the call today are Blake Krueger, our Chairman, Chief Executive Officer and President; and Mike Stornant, our Senior Vice President and Chief Financial Officer. Earlier this morning, we announced our financial results for the third quarter of 2017. The release is available on many news sites or can be viewed from our corporate website at wolverineworldwide.com. If you would prefer a copy of the news release sent to you directly, please call Tyler Deur at 616-233-0500. This morning's press release included non-GAAP disclosures, and these disclosures were reconciled with attached tables within the body of the release. Comments during today's earnings call will include some additional non-GAAP disclosures. There is a document posted on our corporate website entitled WWW Q3 2017 Conference Call Supplemental Tables that will reconcile these non-GAAP disclosures to GAAP. The document is accessible under the Investor Relations tab at our corporate website, wolverineworldwide.com, by clicking on the Webcast link at the top of the page. Before turning the call over to Blake to comment on our results, I wanted to provide some additional context and information. As communicated during the company's first quarter earnings call, the company's 2017 fiscal year is comprised of three 13-week quarters and a 13- or 14-week fourth quarter versus the 12-week quarter for the first three quarters and a 16- or 17-week quarter for the fiscal fourth quarter prior to fiscal 2017. When speaking to revenue, Blake and Mike will primarily refer to underlying revenue, which adjusts for the impact of foreign exchange, any additional week of operations, and excludes revenue from store closures, licensing of the Stride Rite brand and the exited Cushe business. We believe underlying growth best reflects how our global businesses are performing in the marketplace. In addition, we will be providing adjusted financial results, which exclude restructuring and impairment costs, non-recurring organizational transformation costs, which includes divestitures, constant currency results, incremental markdowns related to the 180 stores closed through the second quarter of 2017 and the impact of the additional week of operations. You can find tables reconciling these disclosures in our earnings release and on our corporate website. I'd also like to remind you that predictions and projections made during today's conference call regarding Wolverine Worldwide and its operations are forward-looking statements under U.S. securities laws. As a result, we must caution you that, as with any prediction or projection, there are a number of factors that could cause results to differ materially. These important risk factors are identified in the company's SEC filings and in our press releases. With that being said, I'd like to turn the call over to Blake Krueger. Blake?
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Chris. Good morning, everyone, and thanks for joining us. Earlier this morning, we reported third quarter revenue of over $580 million, representing underlying growth of 1.1% in constant currency adjusted earnings per share of $0.45. These results exceeded our expectations for the quarter, and we were pleased to see the momentum from the first half of the year continuing to Q3. This represents our second consecutive quarter of underlying growth. Much of the attention over the last year has been focused on our interim 12% operating margin goal. Our progress here has been very good and is ahead of plan. We've also put considerable effort into our holistic enterprise wide strategic transformation initiative, the WOLVERINE WAY FORWARD, which is focused on evolving the company and our brands to increase the flow and speed of innovation and growth. We are evolving the company to become more consumer-centric, intensifying our efforts around category and geographic expansion and strengthening our product and innovation pipeline, all with the goal of delivering sustained organic growth in the new normal global retail and consumer environment. We are just beginning to see the results of these efforts reflected in our better-than-expected revenue performance for the last couple of quarters. We're obviously pleased with our progress on the WOLVERINE WAY FORWARD transformation and the momentum in the business. For today's call, I'll touch on performance of our brand groups and then provide a more in-depth update on the WOLVERINE WAY FORWARD. Mike Stornant will then provide additional detail on the third quarter financial results, our operational improvement and our updated outlook for the remainder of 2017. Reviewing our brand group's performance, starting with the Wolverine Outdoor & Lifestyle Group. Underlying revenue grew 4.9% compared to the prior year with Merrell posting solid mid-single digit growth, Chaco delivering very strong double-digit growth, Cat up slightly, and Hush Puppies down high-single digit. The Merrell business saw a broad-based growth in the quarter from every region around the world. Our investments in digital and e-commerce also continue to drive robust result, with the merrell.com business up over 30% for the second consecutive quarter. As part of our WAY FORWARD initiative, the brand is focused on five distinct consumer territories: hike, nature's gym; outdoor life; urban trail; and work, which can sometimes cross the product categories we previously used to describe the business, Performance Outdoor and Active Lifestyle. When viewed through our prior descriptive categories, the core performance outdoor category grew mid-single digits in the quarter, driven primarily by the Moab 2 and the Nature's Gym collection. Encouragingly, the active lifestyle product category returned to growth in the quarter, with a particular strength in the men's offering, which was up double digits. The Merrell Work and Tactical program continued to ramp up as we launch this product line in Canada during the quarter. Overall, Merrell's product-driven growth initiatives fueled brand momentum across its five-consumer territory, and we expect this success to build into Q4. Chaco saw another quarter of strong double-digit growth, fueled in part by its e-commerce business, which grew over 40%. Moving to the Wolverine Boston Group. Underlying revenue declined 1.7% versus the prior year, with Sperry down mid-single digit, Saucony up mid-single digit and Keds down high-single digit, as this brand continue to implement its strategic distribution realignment plan. All brands in the group exceeded revenue expectations for the quarter. Sperry performed better than anticipated entering in the quarter as the team continued to accelerate efforts to diversify the product offering. Both the women's vulcanized footwear and Saltwater Boot franchise performed well. And the Sperry brand grew at a very strong double-digit pace in Latin America and Asia Pacific markets. The consumer has responded favorably to Sperry product offerings outside of the boat shoes category, with Sperry expanding its boot and casual footwear offerings as well as the premium Gold Cup Collection. The boot category for Sperry is off to a strong start with a year-to-date sell-through up over 10% and sales on our own e-com site up 60%. Turning to Saucony. The Saucony brand delivered mid-single digit growth in the quarter, driven by double-digit growth in its North American wholesale and e-commerce businesses. Core franchises, including the guide, cohesion and the award-winning Freedom ISO, drove the revenue increase. The proprietary EVERUN cushioning system is becoming a core technology across the product line and continues to gain running advocates from around the world. In closing with the Wolverine Heritage Group. Excluding our Department of Defense business, which was sold during the quarter, underlying revenue for the group was up nearly 8% compared to the prior year, with Wolverine up low-single digit despite the mid-quarter transition to our new West Coast distribution center and the Bates commercial business up strong double-digit. The Harley-Davidson brand grew mid-single digit and HYTEST was up over 40%. Momentum in the Wolverine brand continued in the quarter, especially in its e-commerce and apparel businesses, with both posting very strong double-digit growth. Sell-in and sell-through of core work product was also robust across key retail accounts as new product introductions have performed well. I'll now transition and provide a brief update on our WOLVERINE WAY FORWARD transformation. The WOLVERINE WAY FORWARD is comprised of four key strength link (09:44): innovation and growth; operational excellence; people and teams; and portfolio management. Our team has been moving with incredible pace and urgency as we execute on this critical transformation, and we started to harvest the benefits from our work in the back half of this year. Our strong performance year-to-date and confidence in our execution for the remainder of the year should enable us to accelerate meaningful investments to drive future growth in 2018 and beyond. On the global growth front, we've deepened our efforts to become more consumer obsessed by investing in brand growth initiatives, consumer insights and market and intelligence. We prioritized investments in our digital infrastructure and analytics capabilities to drive e-commerce growth in digital and social connections with our consumers. We've expanded our speed initiative to significantly reduce concept-to-market lead times for both new and existing product programs. We've leveraged the company's first-ever unified consumer database, Wisdom, that will enable us to better understand and engage with our consumers across all brands in the portfolio. We've proactively reduced our exposure to certain retailers and distribution channels in the U.S. market and focused on retailers who continue to perform well and position our brands correctly. And finally, we continue to deepen our teams and talent by better aligning key team members against our most important transformation and growth goals. The team with the best players wins, and I believe our team has never been stronger than it is today. On the operational front, we've made tremendous strides to ensure our organization is more efficient, more agile and less complicated. We've addressed businesses that did not meet our long-term strategic or financial objectives, allowing us to focus our time, energy and resources on what we believe are the biggest and highest valued opportunity. Specifically, we've completed our comprehensive portfolio management initiatives that were executed during the year, including the sale of the Sebago brand, licensing of the Stride Rite brand and the recent sale of the company's Department of Defense contract business. We've closed subpar stores, leaving us, after some additional expected closures in Q4, with a go-forward fleet of around 80 profitable stores, and this will allow us to invest in our fast-growing, highly profitable e-commerce business. We drove product cost improvements through our consolidated factory and vendor base. We further improved speed-to-market production productivity and costing by focusing on SKU efficiency with a 30% reduction across the company. And finally, we protected our brands in the U.S. marketplace through map enforcement in a more rigorous domestic distribution strategy. These accomplishments are critical to our transformation, and we are now in a very good position to pivot to the offense. The tough medicine is largely behind us. I couldn't be more pleased with the progress we've made this year on our WAY FORWARD transformation. I believe we've established a faster, stronger, more stable and more profitable foundation for the enterprise. In many ways, I think we're out in front as it relates to operational excellence, allowing us to now focus our energy on innovation and the many global growth opportunities we have in front of us. We're now confident that we will achieve our operating margin target well ahead of our original goal. In addition to the improved profit results, we expect that the WOLVERINE WAY FORWARD benefits will provide capacity for very meaningful investments into specific brand initiatives to drive sustained growth. With that, I'll now turn the call over to Mike Stornant, our Senior Vice President and Chief Financial Officer, who'll provide additional commentary on our performance in the quarter, as well as provide more details regarding our expectations for the balance of the year. Mike?
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Blake. Thanks to all of you for joining us on the call today. Our third quarter financial results were better than expected as we delivered our second consecutive quarter of underlying growth despite the persistent global challenges that had been especially acute in the U.S. retail market. This reflects the proactive approach we initiated 24 months ago to position our company and portfolio to compete in the new normal. Year-to-date, we've achieved the benefits from the operational excellence initiatives that we started in 2016 and have executed our WOLVERINE WAY FORWARD transformation on schedule. I'm excited to share some of the future opportunities and benefits we can expect from this transformation. But first, I'll provide a brief review of our Q3 financial results. Third quarter revenue of $581.3 million was better than expected, and most brands in the portfolio met or exceeded their revenue plans entering the quarter. We were pleased with particularly good momentum in the quarter from Merrell and Saucony, as both saw global growth and delivered especially strong e-comm results. With the divestiture of our Department of Defense contract business late in the quarter, we completed our portfolio management initiatives. The team did a great job of completing this portion of our transformation work in a matter of months. We move forward with a strong portfolio of global brands that we believe are well positioned to grow in 2018. As recently reported, the portfolio changes and store closures represent approximately $163 million of 2017 revenue that will not reoccur next year. Adjusted gross margin in the quarter of 40.4% on a constant currency basis is 130 basis points better than last year despite a 90-basis point negative mix impact from store closures. Accelerated product cost benefits, healthier brand mix and lower markdown and inventory exposure all contributed to the strong gross margin performance in the quarter. Adjusted operating margin on a constant currency basis of 11.9% is 140 basis points better than 2016. The stronger gross margin results and operating cost improvements more than offset nearly $10 million of higher pension and incentive compensation cost incurred in the quarter. Adjusted diluted earnings per share were $0.43, and further adjusting for currency were $0.45. This compares to the prior year adjusted earnings per share of $0.45, which benefited from an abnormally low tax rate due to the timing of certain discrete items that would normally be recognized in the fourth quarter. We incurred $31.2 million of discrete costs related to our transformation efforts during Q3, of which $5.6 million were noncash. These costs were incurred to execute store closures and implement other transformation activities. Including these nonrecurring costs, Q3 reported earnings per share were $0.24. Working capital management has been a key priority for the company over the last couple of years. And the resulting improvements have been very impressive. At the end of the third quarter, inventory was down 26% compared to the prior year, and days sales and inventory improved over 22 days. We continue to execute well on inventory management initiatives, including a new focus on SKU efficiency and productivity. In addition, our inventory pipeline at retail is relatively clean entering the important holiday selling season. Our priorities for cash remain the same: drive organic growth, primarily through investments in product innovation, consumer engagement, expanded global distribution and e-commerce initiatives; return value to shareholders through share repurchases and consistent dividends; pay down our debt; and pursue value-enhancing acquisitions. During the quarter, we repurchased over 1.1 million shares for approximately $30 million. We have approximately $200 million available under our most recent stock repurchase plan. Now I'd like to provide additional insight into the progress we have made to strengthen our operating model and drive towards our interim goal of 12% operating margin. In November of 2015, we began to develop a road map to improve the fundamentals of our business and achieve a 12% operating margin run rate by the end of 2018. At that time, the challenges of the global marketplace were mounting, and we took a very practical position that assumed that we would be operating in a low-growth environment for the foreseeable future, the new normal. Since then, our team has been aggressive and worked proactively to improve the profit profile of our portfolio while generating strong cash flow. In April of 2016, we put a firm stake in the ground regarding our adjusted operating margin improvement and shared it publicly. We initiated operational excellence initiatives that focused on reducing supply chain costs, eliminating operating losses from underperforming stores and fundamentally, improving our global infrastructure. These actions set the foundation for achieving our goals. But then in early 2017, we took an even bolder step to go beyond operational improvements and pursue transforming the company. In March of this year, we launched WOLVERINE WAY FORWARD. Blake has mentioned some of the meaningful benefits we are harvesting from our transformation work. While innovation and growth remain our primary focus, the WAY FORWARD has also identified incremental profit enhancing opportunities related to supply chain, product engineering, SKU efficiency and global organizational structure. These additional baskets, coupled with the accelerated timing of our past work, now give us line of sight to deliver 12% operating margin for the full year 2018, ahead of our original schedule. Even more encouraging, the company now has meaningful capacity to incrementally invest over $20 million in 2018 for core infrastructure, digital capabilities and key brand initiatives that will support growth across our portfolio, especially within our fastest growing channels: e-commerce and international. I'm very proud of the progress we've made over the last 24 months and encouraged by the opportunity to over deliver on our interim profit goals. Our team has successfully taken out a tough assignment and has outperformed. We are doing what we said we would do. With three quarters of good results behind us, I would like to update you on our 2017 full year outlook. We are narrowing our revenue outlook to the upper end of our prior range and now expect full year fiscal 2017 reported revenue in the range of $2.34 billion to $2.37 billion. The recent changes in our portfolio, store closures and updated currency assumptions are expected to impact 2017 revenue by approximately $160 million, resulting in 1.5% underlying growth for the year, again, at the top end of the range. Full year adjusted operating margin is expected in the range of 10.6% to 10.9%, an improvement of 240 basis points over last year at the top end of the range. The strong performance is a result of the benefits from key actions taken by the company over the last two years, including early benefits of the WOLVERINE WAY FORWARD, and despite $12 million of incremental cost related to pension and incentive compensation. We expect 2017 net interest and other expenses of approximately $34 million, and approximately $96 million diluted weighted average shares outstanding. As a result, full year fiscal 2017 adjusted diluted earnings per share are now expected in the range of $1.60 to $1.65, which includes the negative impact from foreign currency of approximately $0.07 per share. On a constant currency basis, adjusted earnings per share are expected to be in the range of $1.67 to $1.72, growth of 22% to 26%. Our strategic transformation initiatives will continue through the end of 2017. These efforts include approximately $130 million of discrete costs with nearly $70 million related to store closures. Given these adjustments, reported earnings per share for the year are now expected in the range of $0.76 to $0.81. Associates from every part of the company have done an amazing job delivering on our promise to improve the fundamentals of the business. Our diversified brand portfolio is strong, and our biggest brands continue to make excellent progress on the growth front, including strong double-digit growth in our e-commerce business. Our operating platforms are stronger than ever, and our global network of partners remains one of our key strategic advantages. Although macro headwinds persist, we are enthused about our position and believe we are poised to accelerate innovation and top line growth, deliver earnings growth, generate healthy cash flow and return value to our shareholders. Thanks for your time this morning. We will now turn this call back to the operator. Operator?
Operator: We will now begin the question-and-answer session. The first question comes from Jim Duffy of Stifel. Please go ahead.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning, guys.
Michael D. Stornant - Wolverine World Wide, Inc.: Good morning, Jim.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: I hope you're well. I have a handful of questions. To start, I'm hoping you can comment on the investigation into the environmental contamination at former tannery locations. Where are you guys in your own investigation of this? Are there any expenses related to this to date? And do you have any preliminary thoughts on potential future liabilities and how you might reserve for that?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Let me keep this as short as possible, Jim. As you know, we operated a tannery that we closed in 2009 in West Michigan for around 100 years. We used Scotchgard from 3M in a portion of the leather we manufactured for a number of years, really no difference than millions of other consumers and thousands of other businesses that have used Scotchgard. For a number of years, we've learned that 3M's Scotchgard contained PFAS, P-F-A-S. I won't get into this family of chemicals. But they're not considered, I guess, the best term would be an emerging contaminant. This chemical is pervasive in our environment. One study said that about 98% of people in the U.S. have some of this in their body. It was used in fast-food wrappers, microwave popcorn, stain and water-resistant treatment, stain-proof carpets, firefighting foam, just a host of consumer and industrial products over the years. It's – right now, it's not a regulated substance for drinking water from the State of Michigan or most states. It's been studied for well over three decades. And the science behind PFAS, including any environmental or health impacts, still remains uncertain and inconclusive. So the EPA issued a drinking water advisory in 2016. One expert has called the level very conservative. But irrespective of that, they've issued a drinking water advisory only. We have detected PFAS in the groundwater around several tannery disposal sites. As a company, we've taken a very proactive and conservative approach. We've supplied alternative sources of water to people that might be affected or people that even have a non-detect in their house. Frankly, from our point of view, these are our families, our friends and our neighbors, and we've been as proactive as possible and conservative and transparent. We're working closely with all state and local agencies. And some of the local reporting on this, I think, the local reporting has been fair. But some of the local reporting has been irresponsible and sensationalized. So we're taking a more calm, reasoned and proactive approach to make sure everybody's drinking water is considered safe by them to relieve some of the anxiety that exists. As far as cost?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. The cost in Q3, Jim, again, based on all the work that we've done, very proactively kind of out-of-pocket expenses were about $0.5 million in the third quarter. As we continue to do more research and look for other mitigation, opportunities to work with residents as we learned about any impact, we're probably expecting to spend another $2 million to $3 million in the fourth quarter, that's incorporated into the guidance here. But that's relatively conservative. We really don't know. And as Blake said, we've been very proactive here, engaging with the public on this, engaging with the residents and keeping the public up to speed on things as we learn about them and taking really appropriate action, I guess, to mitigate where we can. So that's the extent of the financial impact that we have line of sight to right now.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. It sounds like a delicate situation. I appreciate the perspective. A couple of other lines of questioning, if I may. Can you speak to the growth of the direct-to-consumer and the international businesses in the third quarter?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. We saw a nice – our e-comm business was very high teens, nearly 17% growth in our e-comm business for the quarter. Our stores were down slightly as we continue to kind of reposition the store fleet and obviously continue to work through the store closure scenarios and everything else. But the go-forward stores are on good footing. As you know, we're going to end the year with about 80 owned retail stores in the fleet entering into 2018. So our DTC business was good. On the international side, we saw a really strong growth in Latin America. And EMEA was down slightly for the quarter but better than expected in every region, frankly. We also saw some declines in Asia Pac. But most of it really frankly due to some timing shifts with respect to our business between Q3 and Q2. So overall, on plan if not better than plan for our international business and expect Q4 to be a little bit stronger across the regions.
Blake W. Krueger - Wolverine World Wide, Inc.: I would say, Jim, that one positive in the quarter was the performance of the U.S. overall, which was positive. A little less than 1% growth but positive for the first time in a number of quarters. (32:08)
Michael D. Stornant - Wolverine World Wide, Inc.: Yes, from our core brands, including Merrell, which was up over 3% in the U.S. in the quarter.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Great. Last one for me on the margins. You guys are tracking very nicely to objectives. Mike, can I ask you to comment on opportunities to continue to drive margin in 2018 and beyond, I suppose, and then how that balances with important areas of investment in the business?
Michael D. Stornant - Wolverine World Wide, Inc.: Yes. I think, as you know, we've been able to benefit from a lot of the initiatives that we started middle of last year. A little bit earlier than we'd originally planned, Jim, just because of the improvement in the inventories and just the way that business has sort of gained a bit of momentum earlier in the year. It's frankly a little earlier than we expected. So having that crystallized early has been certainly helpful. I would say from a supply chain standpoint, over 70%, 75% of the benefits that we work through coming into 2017 kind of came to fruition with another 25% kind of carrying over into 2018. So that we'll have a little spill over from the work that's already behind us. And as I mentioned in my comments, I mean, through the transformation work we've done, we've continued to look at our supply chain as a primary source of value creation in the future. We're continuing to consolidate our suppliers and factories. We're continuing to negotiate with our partners because we're spending so much more time simplifying the business, and giving our partners an easier row to hoe frankly, given some of the complexities we've handed them in the past. So we've uncovered some additional supply chain benefits for next year through WAY FORWARD. And then just some of the divestitures that we've done and model changes have helped us kind of focus on gross margin and operating margin and eliminated some lower-profit and lower-margin businesses that were part of the portfolio going forward. So we like the momentum there. We expect to see some meaningful improvement in gross margin next year as a result of progress we've made on those things.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Great. I'll leave it at that. Thank you.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Jim.
Operator: The next question comes from Ed Yruma of KeyBanc Capital Markets. Please go ahead.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hi, guys. Thanks for taking the question. Two quarters of kind of core organic growth, I guess, are we starting to see the benefits of some of the faster product development cycle? When should we start to see that? And I guess, how has the consumer responded to some of this new product?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I would say that we've already started to see the benefits of that. Maybe just several programs in the very beginning. But in this today's environment, you've got to focus on your brand and speed. And you got to protect and police of your brand. You got to have a segmented distribution strategy. But fundamentally, you need a steady stream of product marketing stories that have a dialogue with the consumer. So that has been our – on the innovation and growth front, that's been our primary focus. Retailers want something fresh and new as soon as they can get it and so do consumers.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Got it.
Michael D. Stornant - Wolverine World Wide, Inc.: I think Merrell is a perfect example. They've been sort of early adopters on some of these initiatives. And really, our key pilot brand when it comes to our growth model and some of the new ways we're approaching the business through WAY FORWARD, and so when you think about some of the growth of this year from Merrell, it's certainly benefiting from speed-to-market initiatives and just a more robust pipeline of new product.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Got it. Maybe two other quick housekeeping ones for me. First, the other line and cash flow, I'm just confirming that that's kind of some maybe cash restructuring cost, just trying to understand a little bit of clarity there. And then finally, the potential contamination. Was that at the tannery or was there a dumpsite? And I guess have you reserved for any kind of legal liability or cleanup cost that may stem from that other than I guess the cost that you talked about for fourth quarter? Thank you.
Michael D. Stornant - Wolverine World Wide, Inc.: That's – yeah, we're specifically referring to sites where some of the byproducts were disposed of, many years ago, by the way. And that the cost that we're talking about are all related to mitigation of any concerns for any residents in the area that may have been impacted. No active lawsuits right now that we'll be accruing for.
Blake W. Krueger - Wolverine World Wide, Inc.: The primary site was a state-regulated landfill site that was closed in 1970, to put everything in perspective.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: And the other line in the cash flow statement?
Michael D. Stornant - Wolverine World Wide, Inc.: That's a combination of some of those restructuring costs and a few other small items but nothing significant.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Great. Thanks so much.
Michael D. Stornant - Wolverine World Wide, Inc.: Sure.
Operator: The next question comes from Jonathan Komp of Baird. Please go ahead.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Yeah, hi, thank you. I wanted to ask when you look to the fourth quarter in terms of the revenue growth, I wanted to just maybe clarify what type of underlying growth you're assuming and some of the key brand drivers to get there?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I mean, obviously, the strong Q3 was helpful to take some of the pressure off of Q4. We're still comfortable and confident with our performance in the quarter. We expect sort of low to mid-single-digit underlying growth for Q4. A big driver for that is going to be Merrell and Merrell's both in terms of their introduction of the new Cham 7 product that didn't really hit the market until really October. And then also the acceleration of their work business. So Merrell is expected to have a very strong high double-digit growth quarter in Q4. But fundamentally, we're seeing good results, good performance across the portfolio, which gives us confidence in delivering that level of organic growth.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay, great. And then when you think about revenue growth into 2018 and getting more towards the mid single-digit organic target you've talked about, how do you think about building up to that in terms of kind of channel and geographic performance to get to that mid single digits?
Blake W. Krueger - Wolverine World Wide, Inc.: Well, I think, first of all, like many people in our space, it's accelerated growth in the international – in the international regions and in our own e-commerce and DTC business. As you know, about 50% of our pairs are marketed outside of the United States. And many of those markets are very robust at the current time. But I would think it also goes back to the fundamentals across our brand portfolio, which is product-marketing initiatives that excite the consumer. And so we've worked hard to increase the flow and to increase the speed at which those hit the market. Certainly, having two or three quarters of momentum here in 2017 also gives us some comfort that we're going to be able to deliver next year, irrespective of what the macro environment is like.
Michael D. Stornant - Wolverine World Wide, Inc.: Okay, great. And then Mike, just one last follow-up on 2018 on the margin side. Maybe correct me, if I'm wrong, but I think the disclosure you gave last week would imply that with no additional improvements, you're already going to be tracking pretty close to 12% operating margin next year. And it sounds like you continue to identify new opportunities. I'm just curious kind of how you're thinking about hitting 12% in the level of conservatism are not embedded in that.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I mean you're spot on in terms of that pro forma information we provided last week, which would indicate what you said. And I think the other thing to kind of underscore, as I mentioned in my remark, is that we have a reinvestment strategy, right, for 2018. It's really going to be critical to not just support the mid single-digit growth targets for 2018 but really to accelerate that beyond 2018. And so the opportunity for us to over deliver on our operating margin target and invest really meaningfully into the business and in the key initiatives and into infrastructure, which is also kind of embedded in that 12% assumption. I think that's an important component of the way to be thinking about next year.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: All right, okay. Thank you very much.
Michael D. Stornant - Wolverine World Wide, Inc.: Sure.
Operator: The next question comes from Mitch Kummetz of Pivotal Research. Please go ahead.
Mitch Kummetz - Pivotal Research Group LLC: Yeah, thanks for taking my questions. I guess I have a few of them. So let's see. On the quarter, it looks like you over delivered by a pretty substantial amount on the quarter revenue and earnings. And you did take up kind of the low-end of the range but it does kind of appear like your default Q4 guide comes down a little bit. So I'm just wondering if there are any shifts in the business to speak to or are you guys just being more conservative on the fourth quarter? How do we think about that, like, what drove the upside, and why is kind of default Q4 coming down a bit?
Michael D. Stornant - Wolverine World Wide, Inc.: I mean, Mitch, obviously, the – it's pretty dynamic market right now. We were really pleased, I would say certainly probably maybe a third of the over delivery in Q3 had to do with the timing of when we ship some goods maybe a little earlier than we'd originally planned. I mean, the good news was our customers and our distributors were – had an appetite for our brands and the products, and they brought them in early. And I think our inventories at retail and inventory position kind of globally would support the fact that there was certainly an open to buy to make that happen. But fundamentally, we had a good quarter. There's still a lot to be done here in the fourth quarter. I would say we're very comfortable with the guidance that we've given. We were in a position to be a little more practical or a little more cautious than we were when we provided that kind of guidance a quarter ago. But I think the business and the momentum of the business has stayed relatively strong. And we're comfortable with the guidance that we put out there.
Mitch Kummetz - Pivotal Research Group LLC: And then can you just kind of walk through your thoughts on the fourth quarter just from like a weather standpoint. October was warm in the U.S., but now the weather is turning against what was a pretty warm November a year ago. Like how does all of that impact the business? You talked about channel inventory because your inventory is looking pretty good at retail. I mean, did the warm weather kind of put some retailers behind schedule, does that lead to any sort of weird cancellations? And like when do retailers get a really kind of itchy trigger finger in terms of cancels, like is there time left in the season and if the kind of the cold weather that we're expecting hits and that's really good for you guys, like how do you think about all that?
Blake W. Krueger - Wolverine World Wide, Inc.: Well, I swore I'd never use weather as an excuse again, but since you asked. It really has not had much of an impact on us. We know in the upper central mid-west here we've had some normal weather conditions. That's probably helped a little bit. Probably some of the hurricanes and storms down South helped our boot businesses in those markets, frankly. And we know the rest of the country has been a little warmer than normal. But we're not seeing any significant impact or shifts in our underlying business as a result of weather.
Michael D. Stornant - Wolverine World Wide, Inc.: And we typically don't factor in any upside from weather either way or downside. But I would size – to your specific point, Mitch, I mean obviously, retailers it's most important to them. I mean for us, I think we have pretty good read on the business, but in terms of where the retailers come out, if the weather remains unseasonably warm or whatever. That's never good. But we don't think it's going to have a major impact on our business in the fourth quarter.
Mitch Kummetz - Pivotal Research Group LLC: Got it. And then Blake you mentioned that I think you said that Merrell men's active lifestyle was up double digits, if I heard you correctly. If that was the case, could you talk a little bit about what drove that? And if you think that's kind of sustainable, like does that business sort of hit an inflection point and now you can drive growth in that? And is the women's coming around too on the active lifestyle side?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. The women's is coming around slower. And we're trying to wean ourselves off the old tube categories to describe Merrell and focus on the five new consumer territories that the brand team is really focused on to drive growth. We know some of those five new territories, some of the footwear in there can be performance, some can be viewed as active lifestyle under our old definitions. But yeah, we were pleased. The men's business, under the old definition, was up double digits in the quarter. Women's was still down some but had improved. And we're really seeing an uptick in Merrell across regions and across pretty much the entire product line, performance side as well as the more casual side.
Mitch Kummetz - Pivotal Research Group LLC: Got it. All right. Thanks guys. Good luck.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Mitch.
Operator: The next question comes from Chris Svezia of Wedbush. Please go ahead.
Christopher Svezia - Wedbush Securities, Inc.: Good morning everyone and thanks for taking my questions. I guess, first just on the – Blake, in the past you've talked about getting to mid single-digit organic growth in 2018. Just curious how you feel about that relative to what's been, I guess, underlying outperformance so far in 2017. So first, I just want you to talk about it and maybe any color if you could rank – is Merrell, you feel more confident about that, Chaco, Sperry? Just kind of softly walk through some of the puts and takes on how we think about or how we should think about some of these brands going into 2018?
Blake W. Krueger - Wolverine World Wide, Inc.: Yes. Next year, we're looking at growth really across the portfolio. We have a few brands that are – some of our smaller brands have a bit more like annuities in our portfolio as opposed to grow stock, but we're looking at growth across the portfolio. Our confidence in the 2018 really is built on what's going to be three quarters of a bit of over delivery and momentum here in 2017. We feel good about our international business, which has helped serve now. Despite the retail conditions in the U.S., our international business has helped serve for a couple of years. Our e-commerce business is growing across the portfolio at a great place. And then, fundamentally, it's our internal line of sight to the product and product marketing initiatives that are bringing – brought forward by each brand. So we have not factored in any overall improvement in the new normal on macro conditions that the consumer or retail level here in the United States for sure. But we have a number of things now that give us more confidence than we even had a couple of quarters ago.
Christopher Svezia - Wedbush Securities, Inc.: Okay. And I guess, Mike, for you. I know you don't want to go too deep into the woods here on 2018 revenues, but you've given some puts and takes and you talked about EBIT margin. Just so we're in some of the ballpark and we're thinking about this correctly, if you imply, call it, 5% sort of organic growth to the business but take out the $160 million, you're roughly down 2% in revenues as a baseline for next year. Are we all thinking about that correctly? Or is there anything else we should think about when – about that or not?
Michael D. Stornant - Wolverine World Wide, Inc.: I mean, generally, that's the right way to be thinking about it without giving any kind of specific rates or numbers. But again, I think there are plenty of changes to the portfolio this year, right, and store closures and everything else. And I think now that we're behind – that's behind us, the disclosure we provided last week was hopefully a help, would give everybody a baseline for next year.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Final two things. Just how does FX play into – just how should we think about FX going forward and inventory? You're down 24%, 26%, just how do we think about that going forward?
Michael D. Stornant - Wolverine World Wide, Inc.: I think on FX right now it's a little early to say on the translation side of things what the impact will be. I mean, the way we're modeling it today is that we'd get a slight benefit from FX on a topline translation, very small, and the earnings impact would sort of be neutral. Remember, we have to go up pretty far in advance on our contracts, our currency contracts for our purchases of inventory. So we don't – as things kind of improve there, we don't get the benefit for maybe a couple of quarters. The same is true, obviously, when they get worse, and we are protected from that impact for a couple of quarters as well. So it will be the second half of 2018 before we see any real benefit from an earnings standpoint from currency. But a little too early to predict that.
Christopher Svezia - Wedbush Securities, Inc.: Okay. And inventory?
Michael D. Stornant - Wolverine World Wide, Inc.: Yes, I'm sorry, yeah. On inventory, listen, over half of the reduction that we saw in the third quarter was from our core business, right? We obviously got some benefit from closing stores and the portfolio changes. But over half of the improvement came from our core businesses. We're in a pretty good spot right now. I would say, to expect any kind of significant reduction in 2018 is not realistic for two reasons. We're going to grow the business, we're going to invest in the right product. But at the same time, as we mentioned, we're focused on SKU productivity and efficiency, which will give us a new weapon in the arsenal and kind of make sure that we can keep working capital in line, and I think that will be helpful. So is there a lot more to harvest there, probably not a lot more. But at the same time, I think there's still room for improvement.
Christopher Svezia - Wedbush Securities, Inc.: Okay, thank you very much. All the best. I appreciate it.
Operator: Next question comes from Jay Sole of Morgan Stanley. Please go ahead.
Jay Sole - Morgan Stanley & Co. LLC: Great. Thank you. My question is just on your outlook for gross margin in the fourth quarter. You're going up against a tougher compare versus last year. Do you think you can grow gross margin on a year-over-year basis in 4Q? Maybe could you give us a range about where you think gross margin will land as you end the fourth quarter?
Michael D. Stornant - Wolverine World Wide, Inc.: Yes. We're very confident in being able to grow gross margin in Q4. And I will say that as we talked about all along despite the fact that we've been able to accelerate some of the supply chain cost improvements into earlier quarters, we've always assumed that the fourth quarter would be our strongest benefit, our strongest win. And that's still true. So the benefits from our product cost reductions, we've also got some incremental benefits flowing through for some spring merchandise that will ship early in Q4. And then just, fundamentally, less exposure on inventory obsolescence and closeouts and markdowns and things just for two reasons, cleaner business and lower inventory levels. So we feel very good. We would expect similar improvement in gross margin in Q4 to what we saw in Q3.
Jay Sole - Morgan Stanley & Co. LLC: So Mike, you mean – I assume in other words, if it was up 75 basis points roughly in 3Q, talking about another 75 basis points in 4Q?
Michael D. Stornant - Wolverine World Wide, Inc.: Similar improvement, yeah.
Jay Sole - Morgan Stanley & Co. LLC: Similar improvement, okay. And then maybe can you just walk into the Keds business a little bit that was down in the quarter. There's been some shifts there sort of changing the distribution model. Can you talk about where that business fits right now and what the WAY FORWARD is for that brand in particular?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, we still view the Keds business as a high-growth business for us. As you know, we made a bit of a tough decision earlier – well, late last year and early this year to kind of reduce store count at two national value chains and change our economic terms. We knew that was going to have a negative impact on Keds' top line, but we also knew it was going to have a material benefit on the bottom line for the business. And all of that has come to fruition. So we still view Keds as a great growth vehicle, especially strong in Asia Pacific. As you know, vulcanized for Sperry and for Keds continues to trend very well as a category. So we're very high on the Keds business. And it's right, the business is right where we expected it to be with these moves.
Jay Sole - Morgan Stanley & Co. LLC: Okay, got it. Thank you so much.
Michael D. Stornant - Wolverine World Wide, Inc.: Hey, Jay, real quick. Just checking my notes. I would say we had a really good – we had more than 75 basis points improvement in Q3 on gross margin, by the way on apples-to-apples basis, right, compared to the last year restated numbers. So I would expect improvement that would be maybe more like 100 basis points, 120 basis points in Q4. You had mentioned specifically 75 bps and that was...
Jay Sole - Morgan Stanley & Co. LLC: Then maybe we could just – maybe you clarify it a little bit. Just in terms of a pure, not a pure but like a – just a reported gross margin on an adjusted basis, where do you think the gross margin will be in 4Q?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. Right in that – sort of in the mid – 38.5% to 39% margin in the fourth quarter.
Jay Sole - Morgan Stanley & Co. LLC: Okay, got it. Thank you.
Operator: The next question comes from Erinn Murphy of Piper Jaffray. Please go ahead.
Erinn E. Murphy - Piper Jaffray & Co.: Great. Thanks, good morning. A couple of questions.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Erinn E. Murphy - Piper Jaffray & Co.: First, starting in North America. There has been some concerns just on some of your athletic peers on the sporting goods channel overall. I'm just curious how you're approaching that channel currently. Are you seeing any significant change in order patterns? Are you kind of concerned on potential further bankruptcies into 2018? Just would love some context on what you guys see in that channel?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, at this point, we don't see any – we're not anticipating any more significant bankruptcies in that channel. But I think it's important to appreciate that we have less than – in North America, less than 10% of our business across the portfolio is in that channel. Less than 10% is with department stores. And a lot of that has been conscious decisions we've made over the last several years just to adjust and be where the consumer is. And so we don't have any undue concerns when it comes to our sporting goods channel.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then maybe just staying in that vein, Saucony was up double digits in North America. Can you talk about what drove that? Is it new launches? Is it something different that you guys have done? Or was it timing? Would love to hear about that brand a bit more.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Fundamentally, with Saucony, it's new product, great new product and probably a quicker pace of new product introductions. So there was an appetite for some of the new stuff from Saucony to get it in maybe a little bit earlier than what we might have done historically. But fundamentally, it comes down to blocking and tackling a little bit. And it's simply – it's a simple as great new product and product marketing stories.
Michael D. Stornant - Wolverine World Wide, Inc.: Q3, it was a U.S. story, Erinn. But I think it's important for that particular brand to see how much good momentum they also have outside of the U.S. right now. Their EMEA business is really strong, and they're growing in other markets around the world too, so they've got that benefit. At the same time, the U.S. businesses has improved a bit.
Erinn E. Murphy - Piper Jaffray & Co.: Got it, okay. And then just last question for me. I know there's been a lot of conversation on the full-year revenue guidance, Q4 in particular. But just to remind us again (57:41) why is the underlying revenue growth moved from flat to up 2% to flat to up 1.5% for the full year?
Michael D. Stornant - Wolverine World Wide, Inc.: All currency.
Erinn E. Murphy - Piper Jaffray & Co.: It's all currency, okay.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. It's just the strong – as the dollar has adjusted itself and the translation assumptions that kind of we had in the plan from before. I think we said it was about $15 million of FX impact. And the way we're looking at it today kind of – it could change by the end of the quarter. But we're looking at more like flat, a slight impact from FX, so it's really that. The other components haven't changed.
Erinn E. Murphy - Piper Jaffray & Co.: But wouldn't your underlying revenue exclude currency because that would be the purest form or you've always included currency there?
Michael D. Stornant - Wolverine World Wide, Inc.: We've always adjusted, yes. When we're talking about that, we're adjusting for that out, right. If it was a bad guy, we would have adjusted currency out to get to underlying and so it won't be as much of a bad guy, which is why the underlying growth is a little lower.
Erinn E. Murphy - Piper Jaffray & Co.: Got it. Thank you.
Operator: The next question comes from Steve Marotta of C.L. King & Associates. Please go ahead.
Steven L. Marotta - C.L. King & Associates, Inc.: Good morning, Blake and Mike. I've missed it and I apologize if you could just review next year underlying growth is expected to be or roughly in the mid-single digit range. And I know that this year had about $160 million of headwinds regarding discontinued operations. What is the exact number for next year, please?
Michael D. Stornant - Wolverine World Wide, Inc.: I don't give exact numbers, Steve. I mean, I think, we provide a lot of good information to sort of get to a right baseline and we'll leave it at that.
Steven L. Marotta - C.L. King & Associates, Inc.: Okay. Thank you.
Operator: We have time for one more question. The last question comes from Scott Krasik of Buckingham Research Group. Please go ahead.
Scott D. Krasik - The Buckingham Research Group, Inc.: Hey, everyone. Nice job. Thanks for taking my question.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Scott.
Scott D. Krasik - The Buckingham Research Group, Inc.: Just a quick one on Sperry and then a bigger picture question. If Sperry – if the non-boat shoe business sort of does what it is expected to do over the next year, what with the boat shoe business have to do to be up for the brand to be up in total next year? And then I have one other question.
Blake W. Krueger - Wolverine World Wide, Inc.: Right now, I would say, and I don't have the exact preliminary operating plan in front of me, but we're not anticipating any resurgence in the boat shoe business next year for Sperry. So when we look at Sperry, when we look at the new product offerings in loafers and casuals, and boots, in Gold Cup, we really expect that crossover point for growth right now to come in the second quarter of next year. Just to give you some flavor on timing. And the non-boat continues to climb as an overall percentage of the brand sale.
Scott D. Krasik - The Buckingham Research Group, Inc.: Would you have that percentage up in?
Blake W. Krueger - Wolverine World Wide, Inc.: I couldn't get it to you. I don't have it right in front of me. Both under 50% now.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay, okay. And then you alluded to 50% of your pairs are still under national. Just wondering now as we go forward with all the changes you've made, what percentage of your reported sales will come from the U.S. versus international? And then in international, what percent is now distributed versus still the old licensing model?
Michael D. Stornant - Wolverine World Wide, Inc.: Well, this year, it'll still be kind of that right around 70%, 30% mix. 70% of the revenue coming from the U.S. and 30% from the rest of the world. Frankly, I haven't done the math on the new – kind of the new model going forward. The mix will shift a little bit out of the U.S. because of some of the divestitures we did like Department of Defense and with our Stride Rite business that was basically U.S. business. So it will shift to be a little less reliant on the U.S. base, which is another good reason to kind of think about or another good fact, I guess, to kind of think about as you think about growth for next year, right? Not quite as reliant on the U.S. base. And your other question was on the international side. We have a number of different models, Scott, between joint ventures and top line versus royalty and licensing. I frankly don't have the exact mix in front of me, but it's pretty diverse. And it's changing all the time because, again, as we go to a particular market or change models in a particular market, it kind of changes the mix a little bit. I would guess that between 40% and 50% of it though is still sort of – in terms of unit, it's still going to be on that kind of royalty licensing part of the business.
Scott D. Krasik - The Buckingham Research Group, Inc.: And then just last one. What percentage of your EBIT do you sort of expect to come from international now on a go-forward basis have you not done?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. About half, about half.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Still the half. All right. Awesome. Thanks, guys. Good luck.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Scott.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks.
Operator: Thank you. The question-and-answer session has now ended. I would now like to turn the call over to Mr. Chris Hufnagel. Mr. Hufnagel, you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: On behalf of Wolverine World Wide, I'd like to thank you for joining us today. As a reminder, our conference call replay is available on our website at wolverineworldwide.com. The replay will be available until December 6, 2017. Thank you, and good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.